Operator: Good morning, ladies and gentlemen, and thank you for standing by. Welcome to the New York Mortgage Trust Third Quarter 2023 Results Conference Call. During today's presentation, all parties will be in a listen-only mode. Following the presentation, the conference will be opened for questions. [Operator Instructions] This conference is being recorded on Thursday, November 2, 2023. I would now like to turn the call over to Christy Moussalem of Investor Relations.
Christy Moussalem: Good morning and thank you all for joining New York Mortgage Trust's Third Quarter 2023 Earnings Call. With me on today's call are Jason Serrano, Chief Executive Officer, Nick Ma, President, and Christine Nario, Chief Financial Officer. A press release and supplemental financial presentation with New York Mortgage Trust's Third Quarter 2023 Results was released yesterday. Both the press release and supplemental financial presentation are available on the Company's website at www.nymtrust.com. Additionally, we are hosting a live webcast of today's call, which you can access in the events and presentation section of the Company's website. At this time, management would like me to inform you that certain statements made during the conference call which are not historical may be deemed forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Although New York Mortgage Trust believes the expectations reflected in any forward-looking statement are based on reasonable assumptions, it can give no assurance that its expectations will be attained. Factors and risks that could cause actual results to differ materially from expectations are detailed in yesterday's press release and from time to time in the Company's filings with the Securities and Exchange Commission. Now at this time, I would like to introduce Jason Serrano, Chief Executive Officer. Jason, please go ahead.
Jason Serrano: Thanks, Christy. Good morning. Welcome to New York Mortgage Trust's Third Quarter Earnings Call. We have been discussing a seismic market shift that has been underway since early 2022. The impact is likely to be far-reaching given historic rate moves and curve inversions. In anticipation of heavy Treasury issuance calendar and continued higher for longer narrative from the Fed, the market witnessed record short positions added in the futures and options market by hedge funds, likely causing the curve to flatten in recent weeks. Home affordability is now at the worst point since the 1970s. And yet earlier this week, Case-Shiller's August HPA showed an increase of 1.01% month-over-month, which is the fifth straight month increase. Low inventory of properties for sale are keeping home value support in the near-term. This trend will continue to keep rental demand strong, particularly in the southern markets where migration is still elevated. Mean reversion to long-term housing affordability would require deflating home prices, lowering mortgage rates, and or increasing incomes. Given that we are likely at the end of a growth cycle, a combination of lower home prices and lower mortgage rates are more likely. Hence, we see that growing a credit portfolio by being a liquidity provider in this market seems to be a highly unattractive proposition at this time. Now, to briefly highlight companies' quarterly results, which Christine will cover in detail, the impact of rate volatilities clearly eroded investor confidence in the quarter, and we are not immune to this reaction. Our adjusted book value declined by 9.71% in third quarter as a result of lower asset value and impairments, particularly within our multifamily joint venture equity portfolio. Despite improvements we are seeing to our top-line revenue for our multifamily properties on balance sheet today, and generally a large cash flow from buyers in the market, there's little urgency being exhibited to transact at this time. Buyers are waiting for interest rate stability to lock in equity returns, and on the flip side, we don't see any evidence of property sales at the wider cap rates either. Not surprisingly, 2023 property transaction volume is 72% below last year, and we're likely to stay depressed in the near term. With limited recourse leverage we utilized through the year and excess liquidity generated, we were able to safely more than double our agency portfolio in the quarter and take advantage of technical pressure which pushed secondary market agency spreads to one of the widest levels ever. Looking at page eight, our defensive posture is a result of signs that the economy is an inflection point. Recent consumer data shows mounting stress at a time when the economy seems to be functioning well. GDP rose at an annual rate of 4.9% in the third quarter. The increase was driven by strong consumer demand, which accounted for more than half of the GDP increase. Consumer spending, as measured by expenditures, increased 4% in the third quarter from 80 base points in the second quarter. Consumers seem to enjoy a bit of a spending splurge at the end of the summer with heavy retailer discounts. The outlook for continued consumer growth to support economic expansion looks unlikely. In fact, when digging deeper into the inputs, Q3 GDP had poor quality results. As you see on page eight, consumer spending was fueled by more debt, which is nearly $1.3 trillion or 20% higher than pre-COVID levels. On this point, for the first time ever, more than 50% of all U.S. credit card holders are rolling debt by making minimum payments rather than paying off balances. And according to Bankrate, this is happening at a time where credit card APR recently hit a record high of 28.3%. Furthermore, while topping out credit cards, U.S. consumers seem to have burned through excess savings as well. The drawdown of savings as a%age of the disposable income went from 5.3% in May to 3.4% in September. One would have to look back 10 years ago to see such a change. With this low savings rate at 50% of historical average, the ability to use credit to spend is looking more unlikely. Change in credit availability has recently become much harder than any time over the past 20 years. With headwinds, the U.S. consumer, the trend of discretionary spending is likely to contract in Q4. Due to how consumption was generated, we do not find the GD print to be impressive, which reinforces our portfolio's management strategy. However, third quarter GDP does line up with similar trends related to contraction in the past, as a 5% GDP print is quite common in the last two quarters before the onset of a recession historically. We recognize that our previous goal to shrink our credit portfolio and maintain asset acquisitions at a minimal pace brings forth a different set of risks, particularly reinvestment risks, to the extent we have misread potential signals for credit contraction. We also recognize we're an outlier for the hybrid credit reach with this downsizing strategy. We do not have much Company here. However, if we have read this correctly, and we believe we have, we should begin to see signs of economic contraction in the near term, likely in the first half of 2024. A 150 base points decline in the 10-year is the average move after a tightening cycle as a fight to safety trend emerges by investors. From our portfolio management decision, staying up in quality and not taking on new leveraged credit is prudent. In this stage, we will continue to proceed cautiously and focus on investments that will outperform in a downturn, pointing to our focus within the non-credit space at this time. On page 9, we explain objectives that have been consistent for over a year. In the near term, the focus on curbing tail risk with respect to our book value by winding down our short-dated portfolio and picking our spots to sell real property opportunistically. Our goal is to keep liquidity high and patiently wait for a period of sustained market dislocation. We believe strong asset management capability will be required to unlock value. This is our strength, and we are excited to leverage our skill set. On the right side of page 9, we show the Company's repositioning timeline. We have well documented this transition of reducing pipelines, downsizing our portfolio by 20% in 2022, and now $1 billion of credit asset reduction year over year. Recently, we were in a unique position to start rebuilding our agency RBS portfolio, which we find very creative. At these higher coupons, as you start the year with zero exposure, Nick will provide more color on this important point. We are seeking higher returns from lending opportunities as we are beginning to see special situations to recapitalize assets and to acquire portfolios of deeply discounted senior loans. As discussed last quarter, a consequence of our defensive posture is that we elected not to replace asset coupons that are paying off from our portfolio, thus also reducing Company earnings, as clearly shown on the bottom right of page 10, the Company's adjusted interest income precipitously declined in the second half of 2022. However, recent allocations to high coupon agency MDS represented in the legend within our other investments increased adjusted interest income by 15% in the quarter to $59.2 million. We still have more work to do here and are finding large opportunities within the agency market, trading at historical wide levels in the secondary market. With $500 million in dry powder equalling 41% of Company market capitalization as of 9-30, we believe we are well positioned for income growth. We're excited about this approach. We can meet our goal to grow income while also staying liquid and protected in the downturn. At this time, I'll pass the call over to Kristine to provide more details about our Q3 financial results. Kristine?
Kristine Nario: Thank you, Jason. Good morning. In my comments today, I will focus my commentary on the main drivers of third quarter financial results. Our financial snapshot on slide 12 covers key portfolio metrics for the quarter and slide 26 summarizes the financial results for the quarter. The Company had un-depreciated loss per share of $1.02 in the third quarter as compared to undepreciated loss per share of $0.38 in the second quarter. We had net interest income of $15.8 million, a contribution of $0.19 per share, up from $0.17 per share in the second quarter. Our quarterly adjusted interest income increased to $59.2 million in the third quarter from $51.6 million in the second quarter. The increase is a result of the $946 million investment made in agency RMBS during the quarter, which offsets a decrease in interest income related to continued runoff of our higher yielding short duration BPL bridge loans. The increase in adjusted interest income was offset by $3.6 million increase in adjusted interest expense due to the financing of purchases of agency RMBS during the quarter, offset by the net interest benefit of our in-the-money swaps. Overall, the operations of our consolidated multifamily JV properties contributed a net loss of $0.08 per share during the quarter. Since investing in this asset class, we have disposed of five multifamily joint venture properties, four of which occurred in the second quarter. This resulted in a decrease in both real estate income and expenses by $2.4 million and $2.3 million respectively during the quarter. Also during the quarter, we recognized $44.2 million or $0.49 per share of impairment charges on real estate due primarily to widening cap rates, resulting in lower property valuations as compared to our carrying costs on seven out of the 13 consolidated multifamily properties held for sale. One of our multifamily joint venture properties is currently subject to a purchase sale agreement, and we have been active in marketing our interest in the remaining 14 properties. Although we can provide no assurance of the timing or success of our ultimate exit from these investments, we continue to believe that we can rotate this portfolio over time to more attractive investments through a well-navigated disposition process. The fair value changes related to our investment portfolio continue to have a significant impact on our earnings. During the quarter, we recognized $61.3 million or $0.67 per share of unrealized losses due to lower asset prices on our residential loans and bond portfolio, partially offset by $0.23 per share in gains recognized on our interest rate swaps and caps. We have total G&A expenses of $11.8 million, which decreased compared to the previous quarter due to a decrease in incentive compensation approval and an annual board compensation made in the second quarter. We had portfolio operating expenses of $5.2 million, which decreased primarily due to reduced net servicing fees on our declining BPL bridge portfolio. After significantly curtailing our investment activity for most of 2022 and early in 2023, starting in the second quarter, we began stabilizing our investment portfolio holdings through greater investment activity. And over the course of the past two quarters, we have experienced solid momentum in our portfolio acquisition activities. Our investment portfolio increased by approximately $700 million on a net basis and ended at $4.3 million, $4.7 billion as of 9-30. As Jason mentioned earlier, adjusted book value per share ended at 12.93, down 9.71% from June 30, and translated to a negative 7.61% economic return on adjusted book value during the quarter. The main drivers of adjusted book value change were a $1.04 basic loss per share, our declared dividend of $0.30 per share, and negative $0.11 per share, primarily due to removal of cumulative depreciation and amortization add-backs attributable to consolidated multifamily properties for which impairment was recognized during the quarter. As of quarter end, the Company's recourse leverage ratio and portfolio leverage ratio increased to 1.3 times and 1.2 times respectively, from 0.7 times and 0.6 times respectively as of June 30. While our financing leverage remains low relative to historic levels, the increase in the quarter is primarily due to the financing of newly acquired highly liquid agency RMBS. Despite this, our portfolio recourse leverage ratio on our credit book is unchanged from the previous quarter at 0.3 times. Currently only 52% of our debt is subject to mark-to-market margin calls, of which 40% is collateralized by agency RMBS and 12% collateralized by residential credit assets. The remaining 48% of our debt as of September 30 has no exposure to collateral repricing by our counterparty. Although we expect our leverage to move higher as we expand our agency RMBS holdings, we intend to continue to focus on procuring longer-term and non-mark-to-market financing arrangements for certain parts of our credit portfolio. We paid a $0.30 per common share dividend, unchanged from the prior quarter. We continue to evaluate our dividend policy each quarter and look at the 12 to 18-month projection of not only interest income but also realized or capital gains that can be generated from our investment portfolio. With that said, we note that we expect un-depreciated earnings per share to remain below the current dividend as we continue to rotate excess liquidity into asset acquisitions over the next few months. And with that, I will now turn it over to Nick to go over the market and strategy update. Nick?
Nick Ma: Thank you, Christine, and good morning. Over the past two quarters, we have begun to pivot from our defensive posture. As the Fed entered the final chapter of its hiking cycle, we sought to reverse some of the portfolio runoff that we have experienced to date. While we acknowledge that there is still a considerable amount of uncertainty and volatility across markets, and the odds of an economic slowdown are further heightened by geopolitical conflict, we believe that we can prudently grow our portfolio in investments that have the potential to outperform for the long term. We seek to expand our asset base such that we can achieve a higher and more sustainable rate of income generation. We are, however, staying cautious about the potential credit dislocations that may arise in the future. We are being selective about where we invest and remain steadfast on asset management. In the quarter, we substantially increased asset acquisitions, purchasing $1.1 billion of assets, with $946 million of those concentrated in agency MBS. This activity was greater than last year's peak of acquisitions in the second quarter of 2022, before we slowed down our investment pipeline. Away from agencies, our BPL bridge volumes have also grown at $179 million in the quarter from $100 million in the prior quarter. The overall investment portfolio is now $4.7 billion as of the end of the third quarter, up from $4 billion. The conservative positioning that we undertook in 2022 preserved liquidity and allowed for capital return through portfolio pay-downs. This has afforded us the ability to meaningfully scale up investment activity, now with wider yields and spreads available in the market. We continue to favor agency RMBS with its historical wide spreads due to technical headwinds. We are also focused on expanding our investments in BPL bridge, given its high yield and shorter duration. Delving first into agency RMBS. As we mentioned earlier, we have managed to deploy a meaningful amount of capital in the quarter in agency MBS. As spreads, both in ZV and OAS terms, approach the wides of the year. The fence resolved to keep interest rates higher for longer has manifested in a sharp rate move higher at the longer end, with the yield curve steepening and gradually disinverting. As the 10-year treasury rate made a steady march higher towards 5% in the quarter, the market began to contemplate the bond supply impact of rising government interest costs and the sustainability of a worsening budget deficit. This increase in interest rate volatility has weighed on agency MBS spreads. The technical backdrop is also challenging as it is hard to discern who the next marginal buyer of agency MBS will be. Money managers who have been supportive of the market are currently over-weight the sector amidst a challenging quarter for fixed income returns. We see the widespread agencies as an opportunity. And although the near-term technicals may be choppy, we believe that this is a favorable entry point to attractive longer-term returns. Our strategy within agency MBS remains consistent. We seek to invest up in coupon where we see a better spread and carry profile, and we target low pay-up spec pools for additional prepayment protection. We have managed to increase our spec pool average coupon to 5.7% from 5.5% from the prior quarter because of the purchases of higher coupon assets. Overall, the leverage of the agency book is 8.5 times, up from the prior quarter of 7.2 times, primarily due to mark-to-market moves. This is still within a comfortable range where we will run the agency strategy as the credit book on the other side is under levered at a 0.3 times portfolio recourse leverage ratio. We have the ability to rotate capital from our credit strategies and available cash to deploy into agencies where we see ROEs in the high teens. In BPL Bridge, we have been onboarding additional originators to increase our go-forward volumes. Our credit underwriting remains strict as we try to avoid the fringes of the credit box and seek out experienced sponsors with straightforward rehabilitation projects. We also limit small-balance multifamily, large-balance single-family, and ground-up construction loans, all of which have less liquidity and financeability in the market. Given the short-duration nature of these BPL Bridge loans, recent origination volume and coupons have not meaningfully been impacted by the move in longer-term rates. The stability of the BPL Bridge profile amidst this recent volatility further highlights the attractive return potential for the asset class. Relating to the asset management of the portfolio, quarter over quarter, we are pleased to see the net decline in the dollar balance of outstanding delinquencies from $208 million to $202 million, driven by additional resolutions and sales. Our cumulative loss to date in the strategy is five basis points on $3.3 billion of historical BPL Bridge fundings as of quarter end, cash collections of interest, inclusive of ancillary income, continues to be stable at a 95% average of scheduled interest. The portfolio continues to pay down steadily as we expected, leaving only $884 million of UPB as of the end of the third quarter of 2023. We hope to maintain and grow the level of BPL Bridge from this point. Pivoting now to our multi-family mezzanine book, the strong credit performance in our multi-family mezzanine portfolio has been consistent over the prior quarters. There is still only one delinquent loan in the portfolio, with that loan expecting to pay off without a loss. Not only has the credit performance of these assets been stable, the speed of the return of capital has been exemplary. The payoff rate of the mezzanine portfolio was at 32% in 2022 and is at an annualized 35% in 2023 thus far. These payoff rates are meaningfully higher than the average historical payoff rate through time of approximately 27%. These elevated redemption rates are not surprising, despite a more difficult financing environment. The weighted average origination date of our mezzanine loan portfolio is the second quarter of 2021. These are more seasoned loans that have accumulated property value increases over the passage of time, further buttressed by the completion or pending completion of their value-add programs. These assets are ripe for monetization or recapitalization today, with significant incentive for sponsors to tap into the equity growth embedded in these properties. Moving on to our multifamily JV equity portfolio, we continue to make progress on the wind-down of the overall portfolio. We have a property amounting to $5 million of invested capital entering PSA this quarter. Looking forward, market forces may hinder the pace of future sales of JV equity positions. With the recent rate moves, senior financing rates are now pricing at around 6.25% for 10-year agency debt, a marked increase from sub-4% rates the market saw prior to 2022. Higher financing costs have exerted pressure on cap rates, with cap rates moving out by approximately 25 basis points in the third quarter. However, there are some positive tailwinds for our portfolio. On a macro level, the cost of home ownership is 50% more expensive than renting today. And as more consumers are priced out of home ownership, the demand for multifamily rentals will be robust for the foreseeable future. Furthermore, we continue to deliver on CapEx plans that have the potential to improve occupancies at higher rental rates, so the longer timeframes of sales should be offset by NOI growth. Overall, we have completed approximately 65% of the budgeted CapEx plans relating to the disposal group properties and will continue to make progress on this alongside our continued sale efforts. I will now pass it back to Jason for his closing remarks.
Jason Serrano: Thanks, Nick. We're using this time to strengthen our resourcing pipelines and target areas where we expect to see opportunity. For example, in primary markets with bridge lending and asset recapitalizations, and within the secondary loan market where we anticipate price discounts. We are well positioned for this opportunity to unlock value with our market-leading asset management team. Now at this time, I'll pass the call over to the operator for investor Q&A.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Bose George of KBW. Your line is now open.
Bose George: Hey, everyone. Good morning. Actually, what's the pace at which you could deploy capital into agencies and how would you characterize your capital that's available for investment there? Should we look at the $220 million in cash or is there some kind of more holistic way to think about what's available?
Nick Ma: Yeah, I think that's a -- this is Nick, by the way. I think that's a fair way to take a look at it. Clearly, we have an ability to access additional capital that we can deploy into this strategy. We are also mindful about the leverage of the entire enterprise and given that we are under levered in general, we do have room to move on that front as well. We see agency MBS as offering one of the best risk-adjusted returns, especially given our views of potential slowdown across the fixed income space. So from our perspective, we intend to continue to scale into the strategy. Now, with that said, there has been some recent volatility and we are looking for mortgage rates have moved pretty significantly higher. So we're also waiting for some new production coupon to come into spec pool form. So we are going to continue to invest in this space. We are going to continue to scale up. I would say that going into the fourth quarter, the pace may not be as much as what we invested in the third quarter, but nonetheless, we do expect to continue to grow in this space.
Bose George: Okay, great. Thanks. That's helpful. And then the multifamily JV portfolio that you're working on disposing, what's the earnings contribution of that? Should we just look at that real estate income and expense line or are there sort of other pieces that we need to think about as well?
Kristine Nario: Hey, it's Christine. So there is an on financial statements and that loss from real estate, but that is really based on operations of a real estate portfolio. I did mention impairment that we recorded during the quarter. So that's part of the income that's being generated by or loss being generated by that portfolio.
Bose George: Okay. But I was also thinking more about, I mean, to the extent that this gets disposed, the equity gets freed up, sort of the incremental earnings contribution. So is there a way to think about what the current kind of ROE, run rate ROE on the equity of the JV is and sort of the benefit as that gets recycled into higher returning investments?
Jason Serrano: Yeah, that's exactly right. This is Jason. We're thinking along the same line, rotation of these assets as well as other assets that are yielding below where we think we can deploy and earn within the agency space. So yes, we believe there will be additional EPS contribution from rotation of that multifamily portfolio, which is, I think you look at it around a 5% type of kind of annualized return until the CapEx program starts really taking form, allowing the rental rates to increase. We're in the, the occupancy rate has been around 90% on average. And that's a combination of some that have done well in the mid-90s and others that are in the 80, kind of mid to high 80% range. And that's a function of the CapEx taking units offline and then having to redeploy through the releasing, so as that happens, we do expect to earn just a higher just carry on those assets. But the point is well taken that we do expect to rotate that into a higher yielding agency asset class.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Matthew Erdner of Jones Trading. Your line is now open.
Matthew Erdner: Hey, good morning, guys. And thanks for taking the question. In terms of capital deployment, what do you see as giving you the best return on capital right now? Is it MBS, which you guys have obviously built a good position there, sharing purchases or possibly some distressed opportunities down the road?
Nick Ma: Sure. And this is Nick. We see a lot of value in the agency MBS strategy. We think that this is opportune time that may not persist forever, but we want to be able to deploy into this space. Relating to other uses of capital, within credit, we do believe that there is a potential for more credit distress, more delinquencies, and more changes in expectation in terms of overall losses across the credit spectrum. So because of that, delving headfirst into credit is not something we would do at this juncture. With that said, though, we do not mind participating in certain asset classes, such as BPL Bridge, which offers shorter duration type profiles.
Matthew Erdner: Gotcha. That's helpful. And then on the MBS, I believe the current leverage right now is 8.5 as a quarter end. Where do you ideally want to run that portfolio in terms of leverage? And then how high are you guys willing to take it? Thanks.
Nick Ma: Sure. So 8.5 is in the eights, eight multiples in terms of leverage is a very comfortable level for us. And really, we're looking at it from the context of just the overall portfolio in general. We are under levered and we have unencumbered assets, available cash, and also cash that is freed up from divestitures of other assets. And because of that, we do not mind running the agency strategy with a little bit more leverage in the context of just the overall leverage profile of the firm; so the eight times we feel comfortable there and we do expect that to be probably the level that we're going to be running it somewhere between eight times to nine times for the time being.
Operator: Thank you. I would now like to pass back to Jason Serrano for closing remarks.
Jason Serrano: Thank you for joining today's earnings call. We look forward to speaking with you on our fourth quarter earnings early next year. Have a great day.
Operator: Thank you. This now does conclude today's call. You may now disconnect. Thank you.